Operator: Ladies and gentlemen, thank you for standing by. And welcome to Keyera’s 2019 Year-End Results Conference Call and Webcast. [Operator Instructions] I would now like to hand the conference over to your speaker today, Lavonne Zdunich, Director of Investor Relations. Please go ahead.
Lavonne Zdunich: Good morning, everyone. Thank you for joining Keyera's year-end conference call. Our speakers today will be Dean Setoguchi, who is going to be promoted to President and Chief Commercial Officer in just a few days; Steven Kroeker, Senior Vice President and CFO; Brad Lock, Senior Vice President and COO. Also, joining the call for the Q&A session at the end will be Jamie Urquhart, our VP of Marketing; Brian Martin, VP of Business Development; and Eileen Marikar, our VP of Finance. Unfortunately, David Smith, our CEO, will be not be on the call today, due to the passing of the family member. David, our condolences to you and your family. As we released our financial results yesterday, the focus on our call this morning will be on our business strategy, operations, business development opportunities and financing. After our prepared comments, we will open the call to questions. I would like to remind listeners that some of the comments and answers that we will provide, speak to future events. These forward-looking statements are given as of today's date and reflect events or outcomes that management currently expects. In addition, we will also refer to some non-GAAP financial measures. For additional information on non-GAAP measures and forward-looking statements, please refer to our public filings available on SEDAR and on our website. With that, I will turn it over to Dean.
Dean Setoguchi: Thanks, Lavonne, and good morning, everyone. 2019 not only marks the end of another strong year for Keyera, but also the conclusion of a transformational decade. Despite numerous challenges in the last five years, our industry has grown stronger and is now even more financially, operationally and socially responsible. Keyera's foundation is strong, and we're well-positioned to capitalize on the long-term growth opportunities within the Western Canada Sedimentary Basin. In 2019, we delivered impressive financial results. Each of our three business segments generated record results and on a combined basis, delivered $1 billion in realized margin. We also achieved record adjusted EBITDA and net earnings, delivered distributable cash flow of $2.77 per share, and an impressive return on total in-service capital of approximately 14%. These results reflect the value of our integrated services and a new capital projects completed over the last 12 months. With confidence in our business, we maintained our dividend track record with a 7% increase last August. At Keyera, we remain committed to responsible growth, including achieving the highest standards of operational excellence throughout the organization. During 2019, we continued to reinforce this commitment, achieving important performance milestones and safety, reliability, and environmental stewardship. As I look forward, I'm very confident in Keyera's future. We have a significant capital program underway that remains on schedule and on budget. Our midstream services remain in high demand. Our fractionators at Fort Saskatchewan have operated at capacity for the past two years. And each year, we continue to handle more volumes through our condensate hub. Our two new gas plants at Wapiti and Pipestone, along with our KAPS NGL pipeline projects are all highly contracted with long-term agreements. I'll now turn it over to Brad to discuss our operations.
Brad Lock: Thank you, Dean. During the year, we continued to safely operate our facilities and advance our capital program. We completed several capital projects to service the needs of customers active in the liquids-rich Montney and Duvernay, including phase 1 of our Wapiti gas plant, the North Wapiti Pipeline System, and an expansion and other enhancements at our Simonette gas plant. Phase 1 of the Wapiti gas plant continues to ramp up with phase 2 on schedule to be completed midyear. In 2019, we invested almost a $1 billion in capital projects, which also included four gas plant turnarounds, and maintenance outages at AEF and KFS. I'm pleased to report that all of our turnarounds and maintenance work was completed according to plan and without a lost-time injury. In addition, we managed the six week unplanned outage at one of our fractionator units at KFS without interrupting the critical services that we provide to our customers. I'll now pass it back to Dean to talk about our business development opportunities.
Dean Setoguchi: Thanks, Brad. This is an exciting time for Keyera. We continue to execute on our significant growth capital program with the second phase for Wapiti gas plant, Pipestone gas plant, KAPS pipeline project and a Wildhorse Terminal at Cushing, Oklahoma. KAPS is on schedule to start up in the first half of 2022. We recently ordered the mainline pipe for the project, all of which will be sourced and manufactured right here in Alberta. Our project team is focused on finding the most cost-effective and timely solutions, and it does add to our excitement when our capital projects are providing direct benefits to the Alberta's economy. KAPS is a strategic asset for Keyera, as it enhances our portfolio of infrastructure assets, integrates our upstream and downstream operations, and establishes a platform for growth beyond 2022. With KAPS in service, we expect to attract additional volumes to our liquids infrastructure segment, where we will continue to focus on long-term growth opportunities. We also continue to review our portfolio of assets to ensure we are maximizing our returns. For southern portfolio of 14 gas plants, we are currently reviewing various optimization strategies in order to reduce redundant costs, attract volumes to our most efficient facilities, increase liquids recoveries, and ultimately increase customer net backs and profitability for Keyera. As an example, in the fourth quarter, we suspended operations at the Gilby gas plant and redirected substantially all of the volume to the Rimbey gas plant with existing pipe. We expect to realize the cost savings associated with the Gilby turndown over the next year. As we finalize the optimization plan, we’ll provide updates.  With that I'll turn it over to Steven to talk about our financial results.
Steven Kroeker: Thanks, Dean. As Dean mentioned, Keyera had a record year in 2019, achieving realized margin of more than $1 billion. Of this amount, the fee for service realized margin increased 74 million or 12% to 670 million in 2019. This fee for service growth largely resulted from full year results at baseline tank terminal and the Pipestone liquids hub. Partial year results from newly commissioned assets such as the Wapiti plant, continued growth in demand for Keyera’s condensate services and higher NGL fractionation fees. The Marketing segment generated record realized margin of $373 million, surpassing our revised marketing guidance of $320 million to $350 million. The record results were largely due to strong realized margin from the sale of isooctane, which benefited from strong product premiums and lower market costs for butane feedstock. Demand for isooctane remained strong as it is a low-vapor pressure, high-octane, clean-burning gasoline additive, making it very attractive to refineries to help meet new gasoline specifications. We expect to release updated marketing guidance with the release of our first quarter results. Our growth capital program of $2.9 billion is almost 60% complete with $1.2 billion remaining to be funded over the next two years. We continue to forecast growth capital investments of $700 million to $800 million in 2020. We expect to fund the remainder of our current program without issuing common equity, aside from the existing DRIP program. Our simplified net debt-to-EBITDA ratio at the end of the year was 2.7 times. And as a reminder, for this calculation, we include in net debt 50% of our existing hybrid debt. Our financial strategies continue to focus on allocating capital in a disciplined manner, reserving financial flexibility and growing shareholder value. Looking forward to 2020, our distributable cash flow per share is expected to benefit from our ramp up of volumes through our new assets and from significantly lower cash taxes and maintenance capital. We now expect the current income tax recovery of between $15 million and $25 million for 2020, compared to a $98 million current income tax expense in 2019. Finally, we expect maintenance capital in 2020 of between $35 million and $45 million, which is significantly lower than $105 million incurred in 2019, as we only have two smaller gas plant turnarounds planned in 2020. With that, I'll turn it over to Dean.
Dean Setoguchi: Thanks, Steven. Looking ahead, Keyera will continue to be a safe, reliable, and environmentally conscious operator, generating long-term value for shareholders. We're focused on successfully executing our growth capital program including the KAPS pipeline system. We have plans in motion to maximize utilization and increase the competitiveness and profitability of our gathering and processing segment. We're continuing to look at opportunities within our liquids infrastructure segment for future growth where we have significant competitive advantages. On behalf of Keyera's Board of Directors and management team, I'd like to thank our employees, customers, shareholders and other stakeholders for the continued support. With that, I'll turn it back to the operator. Please go ahead with questions.
Operator: [Operator Instructions] Your first question comes from Matt Taylor of Tudor Pickering Holt. Your line is open.
Matt Taylor: Hey. Thanks for taking my question here. You mentioned 14% return on service capital there in 2019, which at the top end of your 10% to 15% guide there. Can you just speak to what went well there in 2019 and what you need to see to hit that guidance range sooner than what you had talked about, in 2022?
Steven Kroeker: Sure, Matt. Steven here. Again, that would be sort of a carry on discussion from our messaging that we had at the Investor Day where we -- back then, we as well showed participants in that date, what our historical return on capital has been. And again, it's just in line with that same messaging. The reality is, as we continue to spend capital, it continues to put fresh capital into the denominator of that calculation compared to the historical capital that's been in the calculation and what Keyera's invested over the years. But, at the end of the day, it really is just continued strong projects that we have implemented in terms of the GMP side as well as the liquids infrastructure side. So, it's a weighted average capital for the year. And so, again, just continues to give you a real look as to what the returns are as we go forward. And we would expect that as volumes continue to ramp up in our new facilities, that we would continue to have strong performance in that area.
Matt Taylor: Yes. Thanks for that Stephen. Then, on 2020 marketing earnings being above the base level there. So, commentary in the MD&A suggests you're baking in significantly higher butane costs. But what do you -- what sort of assumptions are you making on product premiums and crude pricing, given that we're seeing a massacre in oil pricing here over the last couple of weeks?
Steven Kroeker: Maybe I'll talk to that first. And then, Jamie might have a couple of comments on that as well. No doubt, in 2019, we did benefit from very favorable market values for butane in terms of -- as a feedstock being lower than what it typically is. We are expecting, as we go forward, into 2020, and we are seeing it that butane will -- as a percentage of WTI, will return more to historical levels. What I would point out is, when that relationship is more like a historical level, swings in WTI don't tend to be the primary driver for cash flow out of that asset, because butane is also priced off of WTI. So, the strength of that asset really does come from the premiums that we collect off of that asset and we continue to see a very strong demand for octane in the U.S. And maybe, Jamie, you might have a comment on that?
Jamie Urquhart: Yes. The only thing I’d add Steven is that we continue to follow a disciplined risk management program. And as such, we're quite confident in 2020 that we set ourselves up well, for the calendar year.
Matt Taylor: And last one, if I may, just you mentioned both your fracks are operated above nameplate. What's your 2020 look there for utilization of the facilities and the fees when they get re-contracted in April?
Dean Setoguchi: Matt, it’s Dean. It’s a little bit premature to discuss that. And we have our annual contracting. So, some of our frack contracts are long-term and some of them are short-term that are year-to-year. So, the year-to-year portion, those are the ones that we sign up starting from April to March of the following year. So, that’s the contract, Stephen. Overall, we think that the -- our frack continues to be pretty strong, but we can't give you a lot more detail at this point.
Operator: Your next question comes from the line of Linda Ezergailis of TD Securities. Your line is open.
Linda Ezergailis: Thank you. I'm wondering if you can give us a sense of what sort of impact the rail disruptions have had on your business so far, and what are the bookends of what impacts there might be over the next couple of months as some of these disruptions unwind themselves. And is there risk also furthermore to some of your physical hedging in place that there might be a mismatch in terms of timing of deliveries, et cetera that might compound the physical rail disruptions beyond just the lengths of transit?
Jamie Urquhart: Linda, it’s Jamie. So, thanks for the question. To-date, the rail disruptions have had not a material impact on our business. The only commodity that would be impacted frankly is propane, and those would be shipments, whether it be to the West Coast or the East Coast. We're confident that although it's going to have some impact on sales in Q1, assuming that those disruptions, those rail disruptions are resolved, we fully expect that those volumes will be delivered within the calendar year. So, we don't expect that there will be any material impact to our business as a result of the rail disruptions.
Dean Setoguchi: Linda, it’s Dean. Maybe I can just add on top of that. I think, it also benefits us that we have four terminals that are pipeline connected and that will be Rimbey, our Edmonton Terminal, our ADT Terminal and Josephburg Terminal in Fort Saskatchewan. All those terminals have a tremendous amount of flexibility. And again, with our pipeline connectivity and our access to both rail lines between that mix of terminals, gives us tremendous flexibility to make sure that we can move our product as efficiently as possible.
Steven Kroeker: The other thing would be -- Linda, would be the fact that we've got storage to be able to accommodate, being able to get those -- that product delivered later in the calendar year.
Linda Ezergailis: Okay. But despite the flexibility and your storage, it sounds like, you're not going to be able to capitalize on the unfortunate circumstances, but instead it would be viewed as a headwind for Q1.
Steven Kroeker: It would be a minor headwind if any headwind at all.
Linda Ezergailis: Okay. That's helpful. And maybe just moving on to your gathering and processing business. You've accommodated two customers to-date in terms of reducing their fees and in exchange for extending the duration of their commitment to volume. Are you in discussions with any other customers in that regard? And do you expect maybe to be approached prospectively as well with more requests for those types of amendments?
Dean Setoguchi: Linda, it's Dean. We have to be competitive. So, in some circumstances, we have to sometimes give some accommodation to extend the term for our contracts. But overall, I mean, I wouldn't say that there's anything significant other than what we've already disclosed.
Linda Ezergailis: Okay. That's helpful. And maybe just maybe on the financial side. Can you give us a sense of how we might think of your cash tax outlook beyond 2020? You've got a recovery this year. Is it reasonable to expect modest cash taxes for the medium-term? And I guess, part B of that question, is your maintenance capital with 2020 be a reasonable run rate going forward or should we expect a step-up in 2021 with some of your planned maintenance there?
Steven Kroeker: Yes. No, it's a good question, Linda, and we appreciate. It's a little bit more difficult when we go from expense to recovery. Obviously, we've brought in a lot of capital in 2019 into service. And so using that that helped us obtain a tax recovery in 2020. I think, it's a reasonable assumption. We can't really comment just yet on future tax, but it gives a reasonable assumption to believe that there's an ongoing benefit of bringing that much capital into service. And we will continue to be bringing in projects this year into service as well. So, that's about all I think I can relay say right now.
Linda Ezergailis: Maintenance capital would be a step up again in 2021, or how might we think of the magnitude?
Steven Kroeker: Yes, the maintenance capital in 2021 would start to reflect the AEF turnaround as it was deferred from this year into 2021 because we had done some work back in 2019 already.
Dean Setoguchi: Linda, just maybe to go back to your other comment regarding your G&P business. And we just -- we did have an update yesterday from one of our customers. And Steven, maybe you can just provide a little bit of color there.
Steven Kroeker: Yes. It wasn't a direct fee reduction questionnaire. But we did get notice yesterday that Bellatrix had disclaimed its commercial arrangements with us at all the flats. And so that was late in the day yesterday. Just for some background, Bellatrix is a 25% owner in the Alder Flat plant and the operator currently of that plant. And we have about 70% interest in that. It's still early days, trying to fully understand their commercial needs, but that's our goal is to continue to work with them to understand their commercial needs. In our view, we still believe there's a high incentive for them to bring volumes to their own facility that they have a material interest in. But we do have to work through what replacement type of arrangements will be put in place. For that production, they want to continue bringing production to that facility. While we do expect a decrease in the future revenue, from Bellatrix due to this event, we do not believe it will be a material number to Keyera as a whole in our business, but we thought we should just give that update.
Operator: Your next question comes from the line of Rob Hope of Scotiabank. Your line is open.
Rob Hope: Just in regard to the Bellatrix, can you give a ballpark, how much net volume is occurring too?
Brad Lock: Yes. We flow about 140 million a day of gas to that plant over the last few months. And we would expect that to continue. They still have a need to flow their volumes, and this is a preferred time for them. So, we don't expect to see those volumes move too much in the near term.
Rob Hope: And that 140, well, that would include some third party, wouldn't it. So, do you know how much…
Brad Lock: Yes, the There's some associated third party with that, but it is predominantly Bellatrix production.
Rob Hope: Okay. And then just moving forward into the marketing outlook for 2020. With the outages that we saw in AEF in 2019, is it reasonable to assume that we should be able to get that low cost butane into a good portion of Q2 as well?
Jamie Urquhart: Yes. Those -- certainly, we've got some inventory that we would -- that is associated with the lower cost butane that will benefit our results in Q2. But, given the fact that we have had very good run time, and since our scheduled outage in late 2019, our inventory would be probably more in a historical level of the butane that we’d have -- that we carry over into Q2.
Rob Hope: Okay. And then just finally, just on the DRIP. If we do have a good marketing contribution in 2020 and remained let's call it, in the range of your debt-to-EBITDA metrics and you do see a declining CapEx profile moving forward. How are you looking at the DRIP longer-term? Do you want to keep it on or could we see shut off in 2020?
Dean Setoguchi: Good question, Rob. I would suggest that our answer is not really -- and our messaging around is not really any different than we had at Investor Day. At Investor Day, we tried to show that at the end of 2021, there are obviously different scenarios that could unfold. And we indicated that living within cash flow without the DRIP on, it'd be that $500 million to $600 million of capital. And if we had the DRIP on, it would be $800 million to $900 million. So, it's really a function of what capital program continues to get developed or looked at. Obviously, we want to grow shareholder value. We’re obviously, trying to be sensitive to different questions that people might have or investors might have on things like the DRIP. But at this point, I think we just want to continue to be flexible in how we look at things. As you point out, it really does depend on, are there different shifts in cash flow that the Company is generating in terms of fee for service or marketing. So, I think I'll just leave it at that.
Operator: Your next question comes from the line of Ben Pham of BMO. Your line is open.
Ben Pham: Okay. Thanks. Good morning. I've just had a couple of questions on the optimization, evaluation that's ongoing. And maybe just using Gilby as an example, moving close to different plant, saving maintenance and costs, and impact of that -- are you expecting absolute EBITDA that to generally be consistent of what it was generating before?
Brad Lock: Ben, this is Brad. I think, what we hope is going to happen with consolidations like this is that we're going to be able to preserve as much of that EBITDA as we can. In some cases, we certainly hope that we can increase that through adding incremental services or reducing our operating costs that producers pay -- that makes their economics look more attractive and also provide incremental tasks. But, I think our target initially is to enhance our business and just continue to create a more efficient business in the long-term, preserving as much of that value as we can.
Ben Pham: Okay. And then, I mean, I guess there's situations where the EBITDA might see some pressure, but maybe free cash flow sees a nice bump because of maintenance CapEx savings, and then maybe just comment on that? And then, how do you guys look at just diversion of flows versus monetizing assets? I mean, what are some of the things you have to look at, pros and cons?
Steven Kroeker: Well, I think, the advantage we have in our central foothills region is that over the last 20 years, we've built a high degree of interconnectivity between those assets. What that allows us to do is, hopefully move gas to the most efficient plants with the minimum amount of capital, thus preserving that in time. So, I would hope that we're going to continue by doing that. We're going to continue to reduce our maintenance capital opportunities that go with that. So, I think there's positives we have for both ourselves as well as the customers that flow to us.
Dean Setoguchi: Yes. Maybe Ben, this is Dean. Just to add to that. I mean, obviously, we think that there are financial benefits for not operating as many plants and providing relatively same level of service. So, again, there's some opportunities to, in some circumstances, pass some value on to our customer. But, we think a lot of that can be retained by our company and for shareholders as well. On top of that, we see some very good opportunities to reduce our overall greenhouse gas emissions, because again, it's a lot less energy intensive to operate fewer gas plants. So, we think that's a positive from a ESG perspective. And overall, our optimization program, I mean, we're looking at a variety of different alternatives. But at this point, we can’t provide more clarity than what we're providing now, but we think we'll have more updates, sort of towards the mid and later part of this year.
Ben Pham: Okay. So, it sounds like -- I know, you mentioned asset sales in the package, but that doesn't seem to be a likely route at this stage, especially in the [indiscernible] package?
Steven Kroeker: Yes. Like I said, I mean, we're considering lots of different alternatives, but I can't comment any further at this point.
Ben Pham: Okay. And then, just a last maybe detailed question, that 14% return, I just want to clarify , you’re including CapEx that on projects that aren’t in service yet. And so I mean, I guess, is that correct? And then, how do you guys think about the marketing EBITDA in that number? 
Steven Kroeker: So, yes, that is meant to capture in-service capital, so that people can have a true reflection of when they see EBITDA being generated. Where is that being -- where's that coming from. And so, we use in-service capital, projects that are not yet in service, capital associated with those projects that are not in there. And then, it's a weighted average to the year in terms of how you're spending your capital in order to try and get again as close the number as possible to reality. And then, the EBITDA -- the numerator, that does include whatever commercial cash flows come as well from marketing. 
Unidentified Company Representative: We certainly believe -- we believe that that’s right way to calculate it. I mean, we have to remind ourselves that our marketing business is a physical business, and we generate that margin based on the assets that we have and utilizing our own assets. So, I think that's the right way to look at it.
Operator: Your next question comes from line of Robert Catellier of CIBC Capital Markets. Your line is open.
Robert Catellier: I wondered if we could just follow up on the marketing for a second. What's going on in the marketplace for isooctane and RBOB, how long do you expect to be able to maintain the relatively strong premiums?
Jamie Urquhart: So, from a iso premium off of our RBOB, we continue to see the strength that we've seen over the last year or so. So, we're confident based on the fundamentals of the demand for octanes within North America for that premium to be intact. Recently, as with WTI, RBOB has fallen off in the forwards. I just reinforce the fact that we have a very disciplined risk management program that has set us up. We continue to be very disciplined as we have in past years, and very confident that 2020 is shaping up to be a strong year.
Robert Catellier: Okay. Then, just on KAPS and I believe the commentary was that you've ordered the pipe. Is there any comment you can provide on how you’ve scoped the project? I believe there was consideration of -- there was some scope as to what you might put in the trench one pipe or two. Is there any updates you can provide there?
Brian Martin: Yes. So, Brian, Martin here. The projects being advanced at this point in time as the two pipes, one for C2 Plus and one for the condensate. And so, that holds to be the case. We continue to have discussions with parties and we would try and to create the business to help enable and maybe put a third line there for C2 Plus. But at this point in time it remains a just the C3 Plus and C5 Plus system that we'll be building initially.
Robert Catellier: Okay. And then, just finally, curious as to what causes the 2020 expectations for a tax recovery? Is it really just the capital or something else there like the impairment or something else?
Eileen Marikar: Hi. This is Eileen here. It's basically that we have $1 billion of capital projects, largely from the G&P segment that came into service in 2019. So, these have very attractive CCA rates. So, we were able to basically create a tax loss that we could carry back to last year and recover some of the taxes that we paid in 2019.
Operator: Your next question comes from the line of Robert Kwan of RBC Capital Markets. Your line is open.
Robert Kwan: Hi. Good morning. If I can start on G&P, just wondering when you take the fee reductions to extend term, are there extra protections within the contract to protect the future cash flows, any form of security?
Steven Kroeker: There is no -- usually, there's no additional kind of security put in place, but we have usually been successful in putting letters of credit in place and as well netting arrangements. A lot of times we're buying NGL mix off the producers coming through a plant. And so we can in certain circumstances net off a portion of what we can -- we can net the two, the processing fees versus what we owe them for the NGLs. And so, those are the kinds of protections we put in place there.
Robert Kwan: Got it. So, do you get a step up in the LCs when you take a fee reduction or is that just having the LCs and the netting agreements in place…
Steven Kroeker: Yes. I wouldn't say it's a driver in terms of a material change in how it's approached.
Robert Kwan: Okay. Just turning to marketing, you've got the guidance that you expect 2020 to better than your base plan, not as good as the 2019 results. If you're able to kind of just talk about the major drivers, like is it pretty much all AEF that's driving by the base plan but just not having as good of a year on 2019 or is there other factors, whether that's propane or [indiscernible] that we should be thinking about as well?
Dean Setoguchi: Maybe I'll take the first cut at that answer. I think, we've always benefited in our marketing segment by having a diverse set of products as well as the liquids blending business in that segment. And I know, isooctane gets a lot of the air time and it is a very large contributor, but we are very happy that we do have multiple products like condensates and propane and liquids blending that contribute to that as well. I would say that in terms of the outperformance in 2019, a lot of that is led by isooctane, but again a very specific year this year in terms of favorable market pricing for butane, at least from a feedstock point of view for us is one of the key drivers. And you know what, this year the -- just the overall demand for octane in North America, when at the same time octane supply was dropping off, that really did lead to strong premiums on the octane side. And as Jaime mentioned before we continue to see that and going into 2020.
Robert Kwan: Got it. Is there anything reasonable that could occur in 2020 for you to actually beat 2019 or is that just pretty much completely out of the question?
Dean Setoguchi: Well, our commercial guys are pretty smart, and pretty bright, and they always find things but I think you have to remember that the significant decrease in market value of butane this past year and it coming back to more historical levels, that was a significant temporary event. We love to continue to see it again, but we also recognize that there producers behind our plans rely on strong butane pricing as well for their net backs. And so, I think that’s all we can say on that right now.
Robert Kwan: Okay, if I can just finish -- within the G&A line item, there was a small $4 million option termination. I'm just wondering some background behind that, just to clarify, you paid $4 million to terminate somebody else's option on that land?
Dean Setoguchi: Yes. That was the -- when we bought the 1,200 acres in the Fort Saskatchewan area, as part of that arrangement, we had given the vendor an option to give some of the land, and we -- for $4 million we were able to just buy them under that option and bring that land back to us.
Robert Kwan: Right. So, is there something that has kind of come a little bit more to the front burner that you've got some big plans that maybe crystallized in the relatively near future to use that?
Dean Setoguchi: Nothing that we can really announce at this point time. But as we kind of percolate things, so to speak, it's just clear in our minds, if we don't have that option outstanding. And the one thing is pipeline right away through land as well. And so, we are connecting to inner pipes PDH facility and it helped to enable us to do that a little bit easier. But otherwise, it's just -- we continue to have discussions and it's cleaner in our minds if that option is not out there.
Operator: Your next question comes from the line of Patrick Kenny of National Bank Financial. Your line is open.
Patrick Kenny: I just wanted to clarify on the isooctane business, zoning in on the positive pricing impact from IMO 2020. Can you just remind us if this tailwind is short-term, temporary phenomenon or perhaps more structural in nature, based on some of the discussions you may be having with your roughrider customers?
Jamie Urquhart: Yes. I would characterize it more the latter. We believe that it is a structural change, based on Tier 3 sulfur content and gasolines and also IMO 2020, the fundamentals of the demand for our octanes for various reasons. Our view is, is that this is a sustainable phenomena in North America.
Dean Setoguchi: On top of that, Pat, I think what we're seeing as well that the feedstocks are getting lighter because of the light oil shale plays and those late feedstocks are sub-octane. So, to actually get to gasoline spec, you need more octane to blend into the fine product to get the spec. That makes sense?
Patrick Kenny: Got it. Okay. Thanks for that. And then, I know you guys will be coming out with more formal marketing guidance in a few months, but perhaps a comment or two on just how Q1 is shaping, up at least directionally relative to Q4 from a propane perspective, just given some of the rail disruptions and perhaps warmer weather so far?
Steven Kroeker: Yes. We can't provide any further guidance from other than what we've put out there already. As you heard Jamie earlier, the rail disruptions haven’t affected us in a material way, at least at this point. And so, we think that it's going to be a reasonably good quarter.
Patrick Kenny: And then, also on propane. So, just wondering if there's been any update on landing on your West Coast propane strategy. I know at Investor Day you mentioned you're assessing both options in terms of securing capacity at third party terminals versus potentially developing your own site. Just curious if there's been any change in how you are thinking about that strategy today versus a few months ago?
Dean Setoguchi: We continue to look at alternative. Long-term, we still fundamentally believe that the demand -- the increase in demand for the long term is going to be in Asia and there's certainly going to be a growing supply that a lot of -- it's that supply will be delivered from the West Coast to Canada, and it makes a lot of sense because of the bottlenecks that are developing in the Panama Canal. So, we think that that makes a lot of sense long-term. We are still evaluating different options. And as we know, there's a lot of different developments happening that are going to affect propane demand in Western Canada, and some of that is exports, some of that solvent, some of that is PDH facility. So, we're just assessing all of that and how we want to position our company.
Patrick Kenny: Okay. And then, just last one if I could here, guys, just back to the DRIP. And I looked at my screen here, if this broader market sell-off does get worse before it gets better, would you consider adjusting the 3% discount or perhaps dialing back to premium component, just until some of the macro risks subside here or perhaps could you look at other funding levers to pull other than DRIP?
Steven Kroeker: Yes. I appreciate the question and yes, we too have been looking the screen today and don't want to look at the screen today. But, on the DRIP, we are actually -- with the March dividend, we are moving to a 2% discount on that. As you can appreciate with $1.2 billion of capital still to be spent, we still believe it's prudent to keep the DRIP on at least for the next couple of years. We will continue to monitor it, depending on how business units perform, et cetera. But, we moving to a 2% discount for the March.
Operator: [Operator Instructions] Your next question comes from the line of Elias Foscolos of Industrial Alliance Securities. Your line is open.
Elias Foscolos: Good morning. I've got a couple -- in a sense follow-up questions. The first one has to do with rail and EBITDA guidance. And I'm not focused on the rail disruption per se, as much as the Transport Canada regulations on key train. First of all, is that having much of an impact? In other words, is it causing some sort of a slow down or delays? And is that built into your EBITDA guidance, if it is.
Jamie Urquhart: It’s Jamie. We have not seen much material impact as a result of the ministerial order. The majority of the product that we're moving, specifically at this time of year is either coming up from the U.S. us or going down to the U.S. And so, the amount of physical kilometers that are impacted relative to the entire journey is relatively small percentage.
Elias Foscolos: Okay, great. Thanks very much for that clarification. And next, sort of short one. I'm assuming that AF went down, it's currently up. Correct?
Steven Kroeker: Correct.
Elias Foscolos: Okay. And finally... 
Steven Kroeker: It's been running nicely since our preventive maintenance outage back in November. So, it’s been running very well.
Elias Foscolos: Okay. I thought I read that it was down in February, was that.
Steven Kroeker: No. that was last February….
Elias Foscolos: Last thing and I'm going to try to poke a bit on capital projects. Is it likely you think that we might get an announcement on some sort of capital project before the end of the year? There were some that you mentioned at investor day, but I know you've got a good track line of capital, but I want to try to push it a bit?
Dean Setoguchi: We certainly see opportunities. So, this is certainly possible that we have other projects to announce. I would say though, it sits within sort of our spend profile where the CapEx program that we have sanctioned today, we have funding plans in place with our DRIP and our cash flow, and any new projects are likely -- the material capital that would have to be invested associated with those projects, would likely be beyond 2021 beyond . So, we're sitting nicely with our cash flow and our ability to fund those projects.
Operator: There are no further questions over the phone lines at this time. I turn the call back over to the presenters.
Lavonne Zdunich: Thank you, everyone, for listening in on our call today. And if you have any additional questions, please feel free to give myself or Kelvin a call and we will be happy to help you. Thanks and have a good day.
Operator: This concludes today's conference call. You may now disconnect.